Operator: Hello, and welcome to the Janus International Group Fourth Quarter and Full Year 2022 Earnings Conference Call. Currently, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mr. John Rohlwing, Vice President, Investor Relations and FP&A for Janus. Thank you. You may begin.
John Rohlwing: Thank you, operator, and thank you all for joining our earnings conference call. I'm joined today by our Chief Executive Officer, Ramey Jackson, and our Chief Financial Officer, Anselm Wong. Before we begin, I would like to remind you that today's call may include forward-looking statements, any statements made describing our beliefs, goals, plans, strategies, expectations, projections, forecasts and assumptions are forward-looking statements. Please note that the company's actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects and future results. We assume no obligation to update publicly any forward-looking statements and any forward-looking statement made by us during this call is based only on information currently available to us and speaks only as of the date when it is made. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margins, adjusted net income and adjusted earnings per share. Please see our release and filings for a reconciliation of these non-GAAP measures to the most directly comparable GAAP measure. We hope that you have seen our earnings release issued this morning. Please note that we have also posted a presentation in support of this call, which can be found in the investor section of our website. In addition, after the close of the market today, we will file an 8-K providing a 15-day extension for the filing of our 10-K for the full year of 2022. The company is unable to file its Form 10-K within the prescribed time period without unreasonable effort or expense, because it requires additional time to complete its procedures relating to its year-end financial reporting and auditing process. Importantly, the extension is not expected to have any impact to our 2022 financial results in the release or any historical period. On today's call, Ramey will provide an overview of our business, Anselm will continue with a discussion of our financial results and introduced our 2023 guidance. Ramey and Anselm will then discuss our long-term strategy and financial objectives before we open up the call for your question. At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, John. Before I get into a discussion about our record results, I'd like to take a minute to recap Janus's highlights and accomplishments in 2022, a year of accelerating momentum, improving profitability, rapid deleveraging and most importantly, outstanding execution. We could not be prouder of our employees dedication, hard work and contributions to our fantastic results. Early '22 presented a challenging operational backdrop. We were experiencing rapid increases in our steel prices and other inflationary pressures on our inputs. While the lagging nature of our order book meant that commercial actions, we put in place to address such pressures took time to offset. We took steps that yielded improvements in revenues and EBITDA margins each quarter of 2022. The results were driven by a combination of organic and acquired top-line growth, commercial actions, working off legacy price contracts, and relentless focus on cost control. We have built this organization through a combination of outstanding organic growth and smart strategic M&A. One of our four key focus areas in 2022 was the integration of DBCI and ACT, which we acquired in the second half of 2021. Both operations immediately began to contribute to our consolidated results. And I'm happy to report that the integration process is now complete, coming in faster with greater overall synergies than we had originally forecasted. In 2022, we celebrated our 20-year anniversary growing from a small office space in Temple, Georgia, to what is now a scale of operations that include 17 manufacturing and distribution plants, over 10,000 active customers, over 1,500 employees around the world and revenues in excess of $1 billion annually. We continue to enhance our capabilities of our Nokē Smart Entry offering and to expand our go-to-market strategy. Nokē is a growing part of the suite of overall solutions we provide to the self-storage industry, and we look forward to providing a few updates on our progress later on this call. And finally, we delivered strong financial results, raising and exceeding financial guidance throughout the year, and delivering full year revenues that was up 36% in just over $1 billion and adjusted EBITDA growing 53% to $227 million. This drove our year-end net leverage to a record since going public of 2.8x, down over 1.5x versus the end of 2021 and comfortably within our previous target range. We are excited that in 2022, we were able to build on the momentum with record results, strong cash flow, while significantly and rapidly deleveraging the company. We look forward to expanding our strong market position to capture additional share and create long-term value for all of our stakeholders in 2023 and beyond. With that, I will turn the call over to Anselm for an overview of our results for the quarter and the full year along with our initial 2023 guidance. Anselm?
Anselm Wong: Thanks, Ramey, and good morning, everyone. I am proud of our record results and our success during 2022 in growing our business generating healthy cash flow and deleveraging our balance sheet of Janus for success. I will focus my comments on our fourth quarter performance, which exceeded our expectations for revenue and adjusted EBITDA. In the fourth quarter, consolidated revenue of $279.7 million was up 18.9% as compared to the fourth quarter of 2021, driven primarily by increased volume as a result of favorable industry dynamics across all of our sales channels, share gains, commercial actions taken to offset inflationary pressures and solid execution. Now let me give you additional color around our sales channel results for the fourth quarter. R3 in commercial and other continued to generate strong growth consistent with prior quarters, while new construction saw a year-over-year decline. Specifically, R3 led the way with year-over-year growth in the fourth quarter of 42.7% driven primarily by continued growth in conversions and expansions. Commercial and other rounded out an outstanding year with fourth quarter year-over-year growth of 34.3%, primarily due to higher volume through our distributor network with the impact of the commercial actions taken during the year. Our self-storage new construction segment saw a year-over-year decline of 8.1% in the quarter attributable to the difficult comps in 2021 quarter when delays that had occurred in project permitting earlier in the pandemic eased and customers accelerate their spending to catch up. Adjusted EBITDA of $68.3 million was up 57.5% and compared to the fourth quarter of 2021, largely the result of higher revenues and efficiency gains, partially offset by higher cost of sales. Adjusted EBITDA margin for the quarter was 24.4%, which was up 600 basis points from the prior year level, driven primarily by the positive impact of commercial actions and some easing in raw material costs, partially offset by continued inflationary pressures in other areas such as labor and logistics. For the fourth quarter of 2022, we produced adjusted net income of $32.7 million and adjusted diluted earnings per share of $0.22. Adjusted net income was impacted during the quarter by drivers already covered, including increased volume, commercial actions and integration of our acquisitions. For the full year, we generated cash from operating activities of $88.5 million, including $25.9 million in the fourth quarter. Capital expenditures for the year were $8.8 million, down from $19.9 million in 2021 and continue to highlight the CapEx-light nature of the business. We are proud of our free cash flow profile, which reflects the financial strength of our results. In the fourth quarter, our free cash flow conversion of adjusted net income was 76%, while for the full year that conversion was 73%. We finished the year with $158.4 million of total liquidity, including $78.4 million of cash and equivalents on the balance sheet. Our total outstanding debt at year-end was $708.2 million and our net leverage was 2.8x at December 31. Now moving to our 2023 guidance on Slide 9. Building off of the momentum we produced last year, full year 2023 revenue is expected to be in the range of $1.05 billion to $1.07 billion. This increase compared to 2022 is mainly attributed to the organic growth and commercial actions we have taken in the last 3 quarters to combat cost inflation. Adjusted EBITDA is expected to be in the range of $250 million to $275 million. At the midpoint, this represents a double-digit increase versus prior year and reflects an adjusted EBITDA margin range of 24% to 26%. We expect our margin profile to be stronger in the second half of the year than the first half. And for our margins in the second half of 2022 to be a good jumping off point for the beginning of 2023. We expect to produce another year of strong cash flow conversion of adjusted net income and having achieved our previous leverage target range and focused on maintaining our net leverage within our new target range of 2x to 3x. Finally, we are off to a good start in the first quarter with revenue and profits in line with this outlook. Thank you. I will now turn the call over to Ramey to discuss our longer-term strategic goals. Ramey?
Ramey Jackson: Thank you, Anselm. Coming off this impressive record year at Janus, I'm pleased today to lay out for you beginning on Slide 10, our first longer-term vision for the company since becoming public almost 2 years ago. Over the last 20 years, we have built the industry leader in self-storage solutions that also both newer and rapidly growing offerings in the commercial, industrial and remote access sectors. That journey has resulted in strong market share particularly with the largest and most well-capitalized owners of facilities. We have plenty of room to grow across all of our sales channels and into new market segments. Here are the important takeaways I would like you all to understand from this call. First, we are focused on expanding our industry leadership position and well-structured, resilient markets that are not overly influenced by economic cycles. Second, we have positioned the company to deliver strong revenue growth with a number of key drivers that I will discuss in more detail in a moment. Third, we are executing against our plan to deliver enhanced profitability, driving our adjusted EBITDA margins meaningfully higher. Fourth, our strong free cash flow generation, driven by a solid conversion of adjusted net income provides us with capital deployment optionality to drive shareholder value. And finally, we look to continue our proven ability of executing value-accretive acquisitions with a focus on bolt-on opportunities in adjacent categories that complement and benefit from our market-leading position in our core competencies. Let me recap where we are today to set the table for where we are going. Today, we have a robust company that delivers strong top-line at over $1 billion annually EBITDA margins rising through the low 20s, a solid balance sheet that is only 2.8x leverage, a track record of solid conversion of adjusted net income to free cash flow. Over the course of the next 3 to 5 years, we expect annual revenues to grow organically at a 4% to 6% rate. Adjusted EBITDA margin to rise to a 25% to 27% range, net leverage to be in a range of 2x to 3x and free cash flow to be 75% to 100% of adjusted net income. We expect to accomplish this by expanding our leadership position in self-storage and growing share in commercial, industrial and other adjacent areas, all while maintaining a relentless focus on cost control and strong balance sheet. Now let me dive a little deeper into the factors that will influence that growth. On the self-storage side, end-user demand has and will continue to come from life events, which are referred to in our industry as the 6 Ds, dislocation, divorce, disaster, death, decluttering and distribution. These life events often occur regardless of macroeconomic environment, making demand for capacity resilient. Today, continued high occupancy rates across self-storage mean we are still a long way off from equilibrium. So demand for new capacity continues to come from a combination of new construction, refurbishments and repurposing. Our margin profile was similar for any of those routes, allowing us to be agnostic as to the source of our growth. Our customer base today is better capitalized and more strategic than any point in our history. And our share with the leaders in that group like the REITs is second to none. We are continuously expanding our portfolio of solutions to grow that side of the business, including increasing upfront design build capabilities like we have at BETCO, enhancing our smart entry offering like Nokē and further increasing our dollar per square foot content. We have tremendous untapped potential on the commercial side as we continue to innovate and broaden our reach to various end markets as the need for commercial warehousing and distribution capabilities grow. Commercial customers also have a shorter life cycle as their doors are generally larger and used much more frequently as compared to self-storage, representing a recurring business for Janus. And while the outsized growth we saw in 2022 and our commercial and other segment may result in challenging comps near term, we are very excited about our opportunities there. We continue to be excited about our Nokē smart entry system business. Its open orders have more than doubled over the last 12 months and the pipeline of opportunities continue to grow. The build-out for the Nokē ground game is ongoing, and we expect the addition of ACT to be a more important part of supporting this growth strategy. We are thrilled by our early success as well as the current trajectory of Nokē as it becomes an increasing part of our offering to customers and contributor to our financial results. We expect to continue moving into adjacent verticals where we can create synergies and unlock value, potentially growing into new geographies as we move down that path. In partnership with our customers to better serve the needs, we will continue to evolve our portfolio with new innovative solutions, keeping us at the forefront of our industry. Along with the solid fundamentals and organic growth we have seen to-date, M&A has been a big part of our journey. We have established a legacy of excellence with regards to identifying and acquiring assets and companies that bolster our solutions offerings and are accretive to our earnings. We expect opportunistic M&A to continue to play a role in our growth and we are continually evaluating potential opportunities for adjacent or bolt-on targets as well as technology and transformative targets. You saw us take a big step forward in our offerings with the additions of DBCI and ACT in 2021 and with their successful integration ahead of schedule and with greater-than-expected synergies and we are well positioned to tackle the next attractive opportunity that we uncover. Areas of focus for us and potential M&A include self-storage interiors, warehousing systems, commercial and loading docks, exterior doors and technology and wireless solutions. So what does that mean in the aggregate? Simple. We will expand our leadership across our sales channels to drive top-line growth and improving profitability. We will accomplish this by partnering with our customers to deliver an expanded suite of offerings while also having the balance sheet strength and integration expertise to be opportunistic both tactically and strategically as opportunities arise. Let me turn it back to Anselm to go a little deeper into the financial particulars of our long-term outlook. Anselm?
Anselm Wong: Thanks, Ramey. Turning to our longer-term targets from a quantitative perspective. We expect to continue driving growth in both our top-line and our profitability, while also maintaining a robust balance sheet and generating strong cash flows. In the next 3 to 5 years, our plan calls for consolidated annual revenues to grow 4% to 6% on an organic basis, adjusted EBITDA margins to reach 25% to 27%. Our free cash flow conversion to be in the range of 75% to 100% of adjusted net income, and our net leverage to stay within our range of 2x to 3x. These targets are consistent with the solid trajectory in our business that we have demonstrated since going public. Now let me discuss the factors that we expect will drive our above-market revenue growth. We see these targets broken down into 4 categories on top of our underlying market growth. First, we continue to drive a larger footprint, increasing our scope in self-storage in areas like design, build and moving into adjacent verticals and while also expanding our offerings in commercial and other. Second, we expect the upward trend in Janus-related content per square foot of installed self-storage capacity to continue as we introduce more value-added solutions. Third, we improved our contract structuring to better address the variability in our cost and our price reflect the appropriate margins relative to the services and solutions we provide. And finally, we will drive continued adoption and expansion of Nokē and other innovative offerings with our customers. Before I get to the drivers of our expected margin expansion, let me spend a moment on our cost. Our business has a number of cost inputs that have seen volatility inflation in the last few quarters, namely steel, labor, and logistics. And while the commercial actions we had taken to offset these pressures have a lagging effect, we were able to deliver steady margin improvement across the full year. Steel pricing remains volatile as evidenced by a number of price increase by North American mills during the first quarter of 2023 alone. So the improved contracting structure with customers I just discussed is key. Next, let me discuss the bridge from the roughly 22% adjusted EBITDA margins we delivered in 2022 to the target range of 25% to 27%. The first step comes from improved operating leverage derived from higher volumes, essentially spreading fixed costs over a larger base. The second step is the commercial action and contracting changes we have implemented. Third, we expect to improve our product mix to favor higher-margin offerings. Fourth, we plan to drive further operational gains across our growing platform with a focus on efficiency and agility. And finally, we expect higher-margin technology enhancements and offerings of Nokē to gain momentum. Moving on to cash flow and capital allocation. We have a proven track rate of solid cash generation and conversion of adjusted net income to free cash flow. We expect to continue growing our cash flows from operations in the coming years and for free cash flow conversion to be in the range of 75% to 100% of adjusted net income. This puts us in a position of strength with regard to capital allocation options. We reached the bottom half of our previous leverage target range in under 2 years, and opportunities remain there as we reap further benefits from our growing scale. In addition to maintaining a solid balance sheet, we have a number of other capital deployment avenues we can consider, including M&A, growth investments and other value-enhancing initiatives to return capital to shareholders. I will not rank those potential buckets, but wanted to highlight that our strong cash flow generation puts us in a position to consider any and all of them. We are in constant communication with the Board around this topic and will consider all options of value creation for our shareholders, while always prioritizing the competitive base that our strong balance sheet provides. Most importantly, we will be both strong and nimble. What we have built to-date positions us for an exciting future, one that is reflected in our outlook for 2023 and beyond. Thank you. I will now turn the call back to Ramey for closing remarks.
Ramey Jackson: Great. Thank you again, Anselm. As you can tell, we are excited about the results we have achieved and the outlook we provided. We are the industry leader in a resilient, well-structured market with plans to deliver above-market growth and improving profitability and the strength of our balance sheet and of our cash flows are differentiators for us as we look at a wide array of capital allocation options. We are proud of how Janus performed during 2022, including closing out the year with another quarter of record revenues and adjusted EBITDA. We entered 2023 well situated to build on the momentum we established for top-line growth and improving profitability, which should result in 2023 being another year of record financial results as we work our way towards achieving our longer-term targets. I firmly believe in the power of this organization and our ability to deliver strong shareholder value over the long-term. I look forward to continuing our positive momentum in 2023 and beyond as we drive long-term value creation for all of our stakeholders. Thank you again for joining us. Operator, we can now open up the lines for Q&A, please.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Jeff Hammond with KeyBanc Capital Markets. Please proceed with your question.
Jeff Hammond: Appreciate the great color. I really like the long-term outlook and color there. As we look into '23, I guess, we're seeing self-storage occupancy rates normalize, some economic uncertainty kind of emerge here. Just trying to get a sense of what you're seeing from orders backlog, pipeline, where you might be seeing any cracks? And then, within your revenue growth assumption for guidance, should we assume that all 3 segments grow, or should we think about maybe tough comps in commercial? Thanks.
Ramey Jackson: Yes. Great question. Look, I think that self-storage in particular that you are seeing some normalization in terms of occupancy rates and things of that nature. But there's a lot of strength in occupancy rates, they're still kind of low to mid 90%. Yes, I think pricing is still relatively strong. And we have a strong kind of seasonal outlook in the next few months. So I think you'll see some great results in the next few months in terms of the performance. What we are seeing, Jeff, is a shift kind of from new construction into investing into their existing portfolio, and that's our R3 division. And as you know, it doesn't matter in terms of where those cells come from because our margins are similar in both new construction. But there's still a lot of investment in self-storage. So we're very optimistic. If you want to?
Anselm Wong: Yes. And Jeff, to your point, you're right, we have some tough comps in our commercial. So if you're talking about growth rates, we expect growth in new construction and our R3 sell. And probably depending on the quarter a little softness in the commercial side but still lots of opportunity we see there for growing.
Jeff Hammond: Okay. Great. And then I understand the kind of volatility in steel, but we did see quite a bit of disinflation in that. And I think through 3Q, you hadn't had much help from that. So maybe just talk to any help on price cost into 4Q and maybe how you're thinking about it as some of that lower-priced steel comes through?
Anselm Wong: Sure. Yes. And as we said in prior calls, we have a lag time between getting that steel value. So we would say we got a little bit in Q4, but the majority is starting to come in the middle of Q1, is when we're going to see it. And if you actually follow the steel price, obviously, it's a key raw material for us. It's actually on its way back up, if you look at where steel is going in the recent kind of months.
Jeff Hammond: Okay. And then just last one on the long-term targets. I guess these are your first formal targets as a public company, but there were some initial ones out around the time of the SPAC. And there seems to be maybe a little bit lower growth rate and a little bit lower margin. Is this a function of kind of where we are in the cycle, some conservatism or what's really changed, if anything?
Anselm Wong: Yes. I think if you look at it, we're putting numbers there that are realistic that we're definitely going to hit, and you've seen what we do. It was like we always make our numbers here. So that's what we're trying to be as prudent in this environment that we're facing. A lot of uncertainty still in this market so we thought it prudent and we said, hey, let's put what's realistic in terms of growth rates you see there. Margin rates very similar thing but there's definitely upside opportunity there.
Ramey Jackson: And just one more thing, Jeff. As it relates to the SPAC deck, we've exceeded most of those data points to-date. So from a revenue perspective and things of that nature. And in addition to that, it didn't include kind of public company cost, just a reminder there.
Jeff Hammond: Yes, absolutely. Thanks guys.
Operator: Thank you. Our next question comes from the line of Reuben Garner with The Benchmark Company. Please proceed with your question.
Reuben Garner: Congrats on the strong close to last year. Let's see. So you mentioned kind of maybe a different go-to-market strategy with Nokē and you brought up ACT. I was just curious if you could kind of elaborate on that. Does that mean there's an effort to go after maybe some of the smaller operators and if so, what's kind of the logic behind that move?
Ramey Jackson: Yes. I mean in terms of ACT; it was always a part of the integration for them to be more meaningful on the installation piece. They're low voltage professionals and there's centers of excellence around that. So our thinking was just to integrate that as quickly as possible. In terms of kind of customer profile, no, we're covering the entire market, whether it's a large operator, smaller operators, those operators that are utilizing the virtual management. And then, probably the biggest difference is we're really leveraging the Janus sales team leveraging those relationships and things of that nature to accelerate growth.
Reuben Garner: Got it. And then, can you talk about your visibility. I guess for this year more so than kind of the long-term framework but kind of embedded in that 4% to 6%, like how are you thinking about volume and price? And I know you were kind of asked the recent order rate question, but just if things do turn in the economy, like how sensitive would your kind of results be in the near term?
Ramey Jackson: Yes, I'll kind of start, Anselm, if you want to close it out. Look, in terms of our visibility, we've said many times that it's a year or two in advance. We're doing a lot of the drawings and unit mix on projects that are still a year or 2 out. So when you look at our dashboard, Reuben, it's very positive. I mentioned that there is a focus on kind of the R3 whether refurbishment or conversion or expansion. But all of our indicators, which we rely on heavily are very positive on the self-storage side of it. So if you want?
Anselm Wong: Yes. And Reuben, let me just add a little more on that. Obviously, we don't disclose our backlog, but it's still very healthy in what we can see in that visibility to. And if you look at into 2023 from the growth rate, as you would expect, we still have the carry out of the commercial actions we had done in 2022. So a large portion of that 4% to 6% is commercial apps, it's still bleeding its way into the year.
Ramey Jackson: Yes. And just last kind of to conclude, our practice is to set realistic expectations. And that's what we've done in terms of laying out the guidance.
Reuben Garner: Yes. I definitely understand that. You've proven that in the last year. Just a quick follow-up on that. So once it's in backlog, historically, are delays more likely than cancellations of projects? Is that how to think about it or do these tend to -- once they're in backlog, they tend to move forward kind of no matter what?
Ramey Jackson: Yes, they do. Typically, those projects have secured funding. So typically, delays are meaningful from a permitting office, whether it's weather this time of year but once it hits the backlog, it typically turns into revenue, Reuben.
Reuben Garner: Great. Congrats again, guys, and good luck this year.
Operator: Thank you. Our next question comes from the line of Stanley Elliott with Stifel. Please proceed with your question.
Andrew Maser: This is Andrew Maser on for Stanley. Thank you for taking my question. Related to the long-term growth and margin targets, I'm wondering what you're assuming as far as growth for the Nokē business. I think in an older slide deck, you all threw out a $1 billion market opportunity number assuming 20% penetration. Where does that market opportunity stand today? And where do you think it will go in the next 3 to 5 years?
Ramey Jackson: Yes, I can start there. We haven't really disclosed that. But what I can tell you is, we expect Nokē this year in '23 to still be in the kind of the mid-$40 million range and we included that in our Investor deck, but you've heard us talk about the opportunity. It's meaningful, it's massive. And so we're still very optimistic, and it's still very early in growth. We're still having to the industry is still having to understand the technology, understand how to operate their business, to improve their business with this technology and I think we're making good head roads there. So again, we're early in the cycle, but very optimistic.
Anselm Wong: Yes. I mean I think as you saw in our slides on Nokē, we added the kind of the unit’s growth. And you can see that it was up 50% up from '21 to '22. So still seeing good, strong growth in that Nokē business. I would say like in the long range in terms of what we've assumed is, we just assumed that similar pattern that we're growing it. We haven't actually assumed any step change like we said because we don't know when that's going to happen, but it will happen that sometime when some big REIT takes over and says, it's going to go across the board. And obviously, we'll see the impact of that when that happens.
Andrew Maser: And then in the press release, you mentioned expanding your share in commercial, industrial and other tangential areas. I'm wondering if you could expand on what you meant by other tangential areas. Thanks.
Anselm Wong: I think what we're trying to just describe is just the opportunity because if you think of what we've done in our commercial business, it's all been in that mainly the R&R space. And there's a lot more opportunities in that commercial space for other products or other options that we can get into. And as we mentioned in other calls, we're not in that spec side of the house of the business in commercial so there's more opportunity there. So I think what we're trying to articulate is that we're still very small in the commercial business, and it's just a lot more opportunity that we see out there that we can go grab.
Andrew Maser: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Daniel Moore with CJS Securities. Please proceed with your question.
Daniel Moore: Congrats. Great quarter and certainly a positive outlook. Just in terms of the cadence, I want to make sure I heard, it sounds like margins may be a little higher in H2 versus H1. Is that right, Anselm? And maybe top-line, given you had kind of accelerating financial improvement through the year, is top-line growth maybe a little faster in the first half, even across the year? How do we think about that?
Anselm Wong: Yes. I think you just said it exactly, how we've actually been talking about it in terms of the second half being a bit stronger than the first half. But yes, that's exactly how I would put it.
Daniel Moore: Got it. Switching gears a little bit. Just in terms of Nokē, obviously, recent new hire in terms of head of corporate strategy and leading that initiative. Just any early operational marketing, go-to-market changes being contemplated or even implemented?
Ramey Jackson: Yes. Look, I think, we're always looking at ways to improve operations. And I guess you're referring to Alessandro -- his hire. So look, a long track record of success at Honeywell. He's been in the technology sector for a long time, a lot of success. And so really, our intent here is just to bolster what we have. We have a great sales team. We have a great commercial division and then the integration with ACT. But his job is to really help us scale for the volume that we know that we're going to have. And we spend a lot of time focusing on scalability and that's really what you saw with that hire.
Daniel Moore: Got it. In terms of the balance sheet and cash flow, taking the long-term leverage target down maybe you had previously, and I missed it, by a half turn. Does that just reflect the higher interest rate environment any thoughts behind a slight delta there?
Anselm Wong: Yes. You're right. We improved by about 0.5 turn. And I think it just really represents the strength of our generation of cash and continue the goal of deleveraging. So I think what we're looking at is just like all the analysts and shareholders that have been talking to us about and say, hey, going to an uncertain environment. And it seems like a lot of feedback about having better leverage ratio. So that's kind of how we landed there.  It doesn't mean that we're going to not look at other opportunities for M&A that this company was built on that might push it a little. But I think in a steady state, that's where we think the company is pretty comfortable with.
Daniel Moore: That makes sense. Last one, obviously, CapEx was modest, kind of CapEx, working capital and cash flow expectations for '23 within the confines of that 75% to 100% conversion target long-term?
Anselm Wong: Yes, Dan. So in the short-term in this year, as you've seen the numbers, our business continues to grow. So our normal maintenance CapEx is still in that same range at 1.5%. And but we do have some investments in some new areas for equipment for growth as well as some factory improvements. So you'll see it slightly blip up this year to support that growth but then it come back into normal that 1.5% range for maintenance CapEx.
Daniel Moore: Okay. And you talked a little bit about capital allocation priorities M&A seemingly back on the table now that we're down below 3x. Is that the right way to think about it? In terms of default, is it pay down debt and consider buybacks? Just thoughts there.
Anselm Wong: Definitely, the cash position we're in is great. We have a lot of optionality. I don't think M&A has been off the table. I think it's always on tail. I think the environment in the past year has not been the greatest, as you would expect, in terms of getting deals done. But that's always on the table. And I think we're assessing all the optionalities for the cash that we're generating right now and obviously, pay down debt is one of the options that we can take.
Ramey Jackson: Just let me add to that, please. Dan, M&A is very important to us. It's a part of who we are, and I think we have a successful track record of M&A. So the pipeline remains to be strong. We focus on it. We're continuously looking at opportunities so that regardless will never change. It's a part of who we are.
Daniel Moore: Perfect. Appreciate the color. I look forward to having the opportunity to see some of your facilities down in Atlanta, in Georgia, I should say, next month and best of luck.
Operator: Thank you. Our next question comes from the line of John Lovallo with UBS. Please proceed with your question.
Spencer Kaufman: This is actually Spencer Kaufman on for John. Thank you for the question. Maybe the first one, just following up on some of the last question. If you just look at that 75% to 100% of free cash flow conversion, that 2x or 3x leverage target seems conservative unless there's a substantial amount of cash going towards M&A, and it seems like there could be. But just kind of curious as to, in your internal model, how much cash you guys are allocating for acquisitions. And just kind of given the current macro uncertainty, is it fair to assume that you'd rather be at the low end of that 2 to 3x leverage target range. And I know I'm kind of going a little bit over here, but just given that all your debt is floating rate. I mean, would you consider paying down more debt more aggressively right now with your cash flow to kind of be below that target range?
Anselm Wong: Yes. We're actually -- like we said before, it's optionality. So definitely that's on the plate that we're looking at right now. So we're actually looking at the various options that being one of them. I think, obviously, we don't comment on M&A right now in terms of the allocation or anything there. But I think the only other material item would be the CapEx that I said that we're implementing for growth in the business that would impact the conversion to a bit on the lower end than what it would normally be. But outside of that, I think you're right, I think one of the things we want to look is definitely the floating debt and the interest rate there and what we're paying. Fortunately, we have a lot of options here to deal with that in terms of the cash we're generating as well the cash we closed the year with.
Spencer Kaufman: Right. Okay. Okay. That makes sense. And just turning gears here, for your longer-term financial targets, the 4% to 6% organic growth. Can you just parse out sort of your expectations for three versus commercial versus new construction and how you're thinking about that share gain versus the market piece.
Anselm Wong: Yes. We don't share the split out there but as we've talked about our business before, and obviously, I don't want to say anyone can forecast how the economy goes. But the way we actually run our business is that we don't have a 3 or new construction. And as Ramey said earlier, as we see some of the new construction go down, generally, the R3 goes up. So it's a balanced pro depending on where we are in the self-storage kind of cycle.
Spencer Kaufman: Okay. And if I can just sneak in one more and apologies if I missed this earlier on the call, but the delay of the 10-K filing, can you just provide a little bit more color as to what's driving that?
Anselm Wong: Yes. It's just the amount of work to get through in terms of all the audit work and stuff that we have to do. So I don't think there's anything other than that. There's just a number of things where you get through and then BDOs got to do their work. We don't believe that there's going to be any impact to any of the numbers that we reported.
Spencer Kaufman: Okay. Got it. Thank you, guys. And good luck.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Joshua Pokrzywinski with Morgan Stanley. Please proceed with your question.
Josh Pokrzywinski: So we've covered a lot of ground already but one thing that continues to stand out and maybe getting a little bit more obvious as time goes on is your business performance versus maybe some of the public indicators like what [indiscernible]. I think they've talked about completions down the last couple of years, clearly that's not what you guys have seen. I think they have maybe a little bit more of a bearish outlook for '24 and '25. And it just seems so decoupled from the business, you guys have clearly put up the numbers so something is very different. But I guess, as you guys look at their data, if it's something that you look at, where do you feel like they have it the most wrong.
Ramey Jackson: Yes. Good question. Look, I think from the very beginning, we've really put a lot of emphasis on our internal data and how that drives our decisions. And when you think about where we are in the entire space, we are designing these projects on the front-end. We don't focus on top MSAs. Our customer set is vast in that our 10% customers, it represents less than or our top 10 customers represents less than 20% of our revenue. So we see it all. It's not just the top MSA focus. It's not just new construction. It's also the capacity additions, whether it's a conversion or whether it's an expansion. So while I think that the third-party data is getting better, and we certainly do pay attention to it and we kind of reconcile with what we have internally. Josh, like I said, our internal data is really where it's at and we have over two decades of data that we could go back to and reconcile. So again, I just stand very firm that our internal data is superior as it relates to real-time self-storage activity.
Anselm Wong: Yes. I'll just add to what Ramey said, Josh, is that you got to remember also that the industry is like 60% of the industry is 20-plus years old. So you're still going to get a lot of work in our R3 for that as people just upgrade to be competitive. And that's always going to continue to happen because of that reason. So I don't think the data out there fairly represents kind of that volume growth from that.
Josh Pokrzywinski: Got it. That's helpful perspective. And like I said, clearly, you guys are distinguishing yourselves from what's out there. Maybe a follow-up on just the higher interest rate environment and liquidity discussions, especially what's happened over the last couple of weeks. How do you guys think about sort of the time at which a project is initially discussed and the underwriting takes place versus when you start to see an order? I know that in a lot of cases, you guys are sort of interacting very early on with these customers, but how do you think about that lag between when you get brought in relative to a project decision and then ultimately when the delivery takes place.
Ramey Jackson: Yes, I think it depends on the channel but new construction typically stays in the backlog 9 to 12 months. And typically, once it enters the backlog, Josh, the funding is secured. So I think I know where you're going with your question. In terms of our visibility, what type of confidence do we have that will turn into revenue and I think we have a high degree of confidence based off the funding piece of that. Now in terms of the visibility, we have with doing unit mixes and design and things of that nature, you never know if those are coming to fruition, but we have visibility in terms of the quantity of inquiries from a pipeline perspective, all of those things remain very, very high at this point in time.
Josh Pokrzywinski: Got it. That's helpful.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Jackson for any final comments.
Ramey Jackson: Okay. Great. Thank you, everyone, for joining us today. We appreciate your support of Janus International and look forward to updating you on our progress. Have a good day.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.